Operator: Good morning, and welcome to the Chart Industries Incorporated 2013 Fourth Quarter and Year End Conference Call. [Operator Instructions] As a reminder, today's call is being recorded. You should have already received the company's earnings release issued earlier this morning. If you have not received the release, you may access it by visiting Chart's website at www.chartindustries.com. A telephone replay of today's broadcast will be available following the conclusion of the call until Tuesday, March 4. The replay information is contained in the company's earnings release. Before we begin, the company would like to remind you that statements made during this call that are not historical in fact are forward-looking statements. Forward-looking statements involve risks and uncertainties that could cause actual events or results to differ materially from those expressed or implied in the forward-looking statement. For further information about important factors that could cause actual results to differ materially from those expressed or implied in the forward-looking statements, please refer to the information regarding forward-looking statements and risk factors included in the company's earnings release and the latest filings with the SEC. These filings are available through the Investor Relation section of the company's website or through the SEC website, www.sec.gov. The company undertakes no obligation to update publicly or revise any forward-looking statement. I would now like to turn the conference call over to Mr. Michael Biehl, Chart Industries' Executive Vice President, CFO and Treasurer. You may begin your conference.
Michael F. Biehl: Thank you, Jane. Good morning, everyone. I'd like to thank you all for joining us today. I'll begin by giving you a brief overview of our fourth quarter and year-end results. And Sam Thomas will provide comments on current market and order trends we see in each of our business segments. I'll finish up by commenting on our outlook for 2014. Reported net income for the fourth quarter of 2013 of $23.2 million, or $0.71 per diluted share. This includes acquisition-related cost of $3.2 million, or $0.07 per diluted, largely associated with the company's 2012 acquisition of AirSep in our BioMedical business. This quarter also includes a $0.04 per diluted share impact associated with additional shares taking into account for convertible notes. Our convertible notes require that an additional 1.9 million shares must be considered diluted for the fourth quarter under Generally Accepted Accounting Principles because our average market price in the fourth quarter of $105.20 exceeded the notes conversion price of $69.03 and our warrants' strike price of $84.96. As explained in prior quarters, we purchased the hedge to offset some of this dilution but it's considered anti-dilutive and cannot be considered in our calculation of diluted earnings per share under GAAP. Approximately 1.2 million of the 1.9 million additional shares are covered by the hedge. The difference of about 700,000 shares represents the diluted impact from the warrants. Although the notes remained convertible at the option of the holders, there have been no converted to date. Therefore, earnings per share for the fourth quarter of 2013 would have been $0.82 per diluted share, excluding this additional dilution and the acquisition-related cost. This compares to fourth quarter 2012 net income of $20.8 million or $0.69 per diluted share. The prior year quarter's earnings would have been $0.80 per diluted share, excluding $4.5 million of acquisition-related costs. Net income for the year 2013 was $83.2 million or $2.60 per diluted share. Net income for 2013 would have been $2.94 per diluted share, excluding $10.2 million or $0.23 per diluted share of cost primarily related to acquisitions, as well as $0.11 per diluted share impact associated with the notes. This compares to net income of $71.3 million, or $2.36 per diluted share for the year 2012. Net income for 2012 would have been $2.50 per diluted share, excluding $5.9 million of acquisition-related costs. Sales for the quarter were $304 million, which equaled the performance from a year ago. Sales for the year were $1.18 billion, another Chart record, and a 16% improvement over 2012 sales. Our gross profit for the quarter was $93.8 million or 30.9% of sales compared with $85.5 million or 28.1% of sales a year ago. Overall margins were higher year-over-year, primarily due to lower acquisition-related cost. With respect to the E&C business, sales decreased 17% to $79 million in the fourth quarter and gross margins were 30% compared to 31% in the prior year quarter. Sales and margins were both lower, mainly due to the large base load LNG projects which represented a significant share of the project mix in the quarter. This was partially offset by several emergency short lead time projects and our brazed aluminum heat exchanger business shift during the fourth quarter. In D&S, fourth quarter sales increased 18% year-over-year to $164 million, driven by improved volume, led by growth in LNG equipment shipments. As in previous quarters, growth in Asia continues to outpace other regions. We also saw a continued growth year-over-year in the North America LNG market during the quarter. Gross margins for D&S were 28.8%, which is lower when compared with 29.5% a year ago due to higher mix of sales in Asia and product mix differences. In our BioMedical business, sales declined 13% to $61 million in the fourth quarter of 2013 compared with $70 million for the same quarter in the prior year. The decline is due to lower sales of respiratory therapy equipment, results of market restructuring amongst our customers driven by the Medicare competitive bidding process in the U.S. BioMedical gross profit margin improved to 37.7% in the quarter compared with 21.5% for the same period in 2012. The improvement is due to lower acquisition-related charges in the current year, improved product mix and a stronger euro. SG&A expenses for the quarter were $49.5 million, up $1.5 million from the same quarter a year ago. The increase was due to higher employee-related costs as we continue to hire engineers and sales personnel to address the growing LNG opportunity. SG&A, as a percentage of sales, was 16.3% compared to 15.8% in the prior year quarter. Net interest expense was $4.2 million for the fourth quarter, which included $2.5 million of noncash accretion expense associated with the company's convertible notes. Cash interest for the fourth quarter was just $1.7 million. Income tax expense was $9.8 million for the fourth quarter and represented an effective tax rate of 27.5% compared to an effective tax rate of 26.7% in the prior-year quarter. The higher rate is largely due to finalizing prior year tax returns by our German entities. I'll now turn the call over to Sam Thomas.
Samuel F. Thomas: Thank you, Michael, and good morning, everyone. First, just comments that apply overall to our business. We continue to perform delivering another record year in revenue growth led by our D&S business. Although backlog is down slightly from our third quarter backlog at $729 million, it's up 18% from year end 2012. With 89% year-over-year LNG-related revenue growth, we are seeing results from our continued initiative to position Chart across the entire LNG value chain. 2013 demonstrated successful execution of our growth strategy as we received significant awards in virtually every area, including LNG supply, infrastructure and end-user applications. In the LNG supply area, we've been encouraged by strong commitments from many companies for small- to mid-scale LNG liquefaction in North America. As a result, we're stepping up our efforts to meet demand. I'm pleased with the progress we've made in our brazed aluminum heat exchanger expansion project in La Crosse, Wisconsin, which will ramp up through the second quarter of this year providing additional capacity for both hydrocarbon and air separation opportunities. In the infrastructure area, 2013 included multiple awards for LNG fueling equipment in Asia, as well as the previously mentioned award from a major oil company from 20 LNG stations here in North America. In LNG end-user applications, we continue to see strong order and revenue growth despite recent market debate concerning LNG versus CNG for heavy-duty trucking. Our perspective is a 12-liter 400-horsepower Cummins Westport engine will now give the industry capable pilot fleet vehicle on a broader scale. Early adopters, such as major fleet truck buyers, see the long-term advantages of LNG as we do. And their new fleet of over 1,000 trucks is, in fact, using Chart equipment and technology. I'm also very proud of continuing innovative work in our D&S segment as Chart products participated in the recent Black-Diamond Award received during the World LNG Fuels conference for the LNG fast-fuel ferry for Francisco. Not only did the Chart team participate in the win for the Black-Diamond Award, Chart products were included in every project that was nominated for the award. Finally, I'd like to thank our talented and hard-working employees for continuing to deliver the quality of products and service our customers have come to expect from Chart. Their focus and commitment to our core beliefs will continue to increase the value of our business. I'd like to comment on specific highlights for each of our businesses. Within Energy and Chemicals, one key development in 2013 was the introduction and first orders for our standard size LNG liquefaction plants. Our order and quoting activity has had a step level change in 2013 from 2012 for small- to mid-scale LNG system. Our E&C business booked 85 million of orders in the fourth, although down sequentially from 93 million in the third quarter of last year or in 2013. This still represents a solid order number for the quarter. In the fourth quarter, we had an 18 million LNG coldbox order from a major oil company in North America. This follows the previously announced Stabilus and Noble orders from earlier in the year, which will continue to improve LNG availability here in North America. We believe that we are at the beginning of the growth curve for small- to mid-scale LNG liquefaction in North America. As offtake agreements are signed for major oil and gas companies are looking at opportunities to monetize natural gas assets. And as a result, our quoting activity has increased. Outside our small- to mid-scale LNG, our E&C business also continues to see good order and quotation activity for petrochemical applications. During the fourth quarter, we received a $7 million order to provide equipment for ethylene plant and a $7 million order for a natural gas processing facility. Both of these orders are attributable to the growing abundance of shale gas available in North America. We anticipate more demand for similar projects as we move forward into 2014 based on current market projections for shale gas production and quotation activity. We made significant progress on our E&C acquisition in Wuxi, China and plan to close this transaction in the first half of this year. As a reminder, this acquisition will add manufacturing capacity for brazed aluminum heat exchangers and coldbox for the air separation and LNG liquefaction markets in Asia. In addition to enabling our current E&C coldbox application supplying the hydrocarbon market, to move out of our D&S Asia facility in Changzhou increasing capacity for D&S LNG products. We also see additional opportunity to provide a full spectrum of solutions to the air separation space in Asia. We continue to see the momentum that shale gas development is having in North America. The recent announcements regarding LNG export terminals, government approvals for these projects allows us to remain optimistic about the future as these projects take advantage of the technology that Chart offers for the natural gas processing plant's upstream to the LNG plants and distribution equipment downstream. Moving on to D&S, or our Distribution and Storage business. We booked orders of 146 million in the fourth quarter, which is down 33% from our third quarter orders of 219 million. However, the third quarter included a PetroChina award in excess of $50 million, as well as a North American award for 20 LNG fuel stations. We had an outstanding year in our D&S Asia operations, with 66% revenue growth year-over-year. LNG accounted for a majority of the growth as we continue to fulfill the needs of the infrastructure and mobile equipment rollout in China. Our commitment to innovation, quality and safety is enabling us to win orders over local competitors. Further to our LNG -- our commitment to LNG in Asia, we are pleased to announce an $80 million Greenfield expansion in Changzhou, China that will significantly increase our capacity for the LNG market. The expansion will commence during the second quarter, and we expect to support continued revenue growth in 2015 and beyond. This expansion is expected to ultimately more than double our current capacity in Changzhou. We're seeing strong LNG quotation activity in China and these support our bullish view of the market there going forward. In North America, we saw a double-digit order growth as LNG in our food and beverage segments both performed well. We also saw a 45% increase in orders in Europe during 2013, relating to both LNG and our mobile equipment product lines. European environment to regulations are spurring the pursuit of LNG conversions, particularly in marine applications. In our BioMedical segment, orders of 56 million were down 3% compared to 58 million in the third quarter. As Michael mentioned, orders for respiratory equipment in the fourth quarter remained weak as market restructuring and consolidation amongst our customers in the U.S. due to Medicare competitive bidding, impacted our order intake. We anticipate the impact from this process to moderate over the first half of 2014 as the market stabilizes. Our cryobiological cold storage orders rebounded nicely from the third quarter, where the U.S. government shutdown and weak spending on medical research in Europe weakened demand. The Asia's continuing focus on life science-related activities will continue to lead demand growth globally. On-site gas generation orders for the quarter were down compared to the third quarter as project award timing impacted the quarter. We anticipate growth in this market driven particularly by the environmental benefits of our waste water processing technology and have dedicated more resource to grow this space. Finally, as we have mentioned in the third quarter, our AirSep acquisition has now been a part of Chart for over a year and our restructuring and integration efforts are resulting in improved operating results. Michael will now provide you with our outlook for 2014.
Michael F. Biehl: Thanks, Sam. 2013 continues our string of record orders and sales and we entered 2014 with a substantial order backlog. LNG-related sales provided significant growth in 2013. We expect that growth to continue, albeit at a slower pace given recent developments. In Asia, we see the market picking up after the recent pause. And as Sam mentioned, we will continue to invest for the future as we believe in the long-term growth of LNG. Beyond LNG, we see continued growth in the petrochemical, air separation, industrial gas, healthcare, life sciences and environmental markets we serve. Sales for 2014 are expected to be in a range of $1.3 billion to $1.35 billion. And diluted earnings per share expected to be in a range of $3.10 to $3.50 per diluted share on approximately 30.7 million weighted average shares outstanding and an estimated effective tax rate of approximately 30%. This excludes any potential dilution impact from the convertible notes. I should point out that we expect stronger momentum in the back half of the year when we expect the impact of prior year gas price increases in China, and delays in North America LNG infrastructure development to be increasingly behind us. We'd now like to open it up for questions. Kate, please provide instructions to the participants to be able to ask questions.
Operator: [Operator Instructions] Our first question comes from the line of Jeffrey Spittel with Clarkson Capital Market.
Jeffrey Spittel - Clarkson Capital Markets, Research Division: Maybe if we could start with the Chinese LNG business. Can we just get a refresher on how big it is today and then maybe a ballpark growth rate. And it sounds like it's going to be pretty broad based in terms of what the growth dynamics or drivers are going to be?
Samuel F. Thomas: Yes, it represents something just short of $200 million in sales for D&S or a total, probably, 30% of our sales, including the E&C and D&S portion. In terms of growth rate, we are forecasting a moderation from the over 60% growth rate we experienced in 2013. But over a longer period of time, looking out 3 or 4 years, expecting growth rates in excess of 30%.
Jeffrey Spittel - Clarkson Capital Markets, Research Division: Yes, that's very helpful. And maybe, I heard you mention some order opportunities related to shale gas and petrochemicals in North America. Is $5 million to $10 million what we should expect a typical order to look like related to that business? Or is there potentially some larger stuff looming out there a little bit further down the road?
Samuel F. Thomas: In terms of our quotations, the project sizes are in the $2 million to $25 million range. So your assumptions of typical order sizes are not far off.
Operator: Our next question comes from the line of Igor Levi with Morgan Stanley.
Igor Levi - Morgan Stanley, Research Division: You've mentioned a slower than expected LNG infrastructure buildout in North America. I was just wondering if you could quantify that? And how does the growth in U.S. LNG business for 2014 compare to the 15% to 20% growth expectations out of China?
Samuel F. Thomas: Based on our backlog and delivery schedule in 2014, the U.S. probably sees comparable growth. In other words, double digits to mid-20s growth in 2014. I think in terms of moderating the expectations are slower, many market participants, ourselves included, had anticipated more orders in the latter part of 2013, '14, early '14, which have been slower coming forward than anticipated. We do think that we are seeing good reference cases established and being brought into production, which will encourage demand going forward. I think that the fundamental economics, the macro drivers are well placed for that. So the -- it's a bit of order receipt timing in the area we have the greatest challenge and forecast.
Igor Levi - Morgan Stanley, Research Division: And is this mostly on the tank side or the liquefaction side, or both?
Samuel F. Thomas: It's across all of the LNG market. Our belief is that the market growth is constrained by lack of merchant LNG availability currently. As those liquefiers come on stream, it will create more confidence for the downstream distribution equipments and vehicle equipment.
Operator: Our next question comes from the line of Eric Stine with Craig-Hallum.
Eric Stine - Craig-Hallum Capital Group LLC, Research Division: I mean, clearly, there's a lot of concern or discussion about China in -- with your expansion. You -- I mean, you're clearly more optimistic. Just curious if you could provide some details what you're seeing in the market, your quotation activity. It sounds like it's very good, but just kind of the thinking that second half is when things pick up.
Samuel F. Thomas: There has clearly been no slowdown in the pace of building liquefiers in China or in the pace of adding storage capacity for contracts to import LNG. That, coupled with increasing air pollution issues throughout China and the air pollution discussion being at the -- probably one of the top priorities for the Chinese government. When -- our people are in China now, topic #1 for discussion is how do we improve air quality. Based on those comments, our quotation activity with end-users, including both the national oil companies building out LNG infrastructure, a growing number of private companies building LNG infrastructure and discussions with the truck manufacturers and fleet operators, we have confidence that the market will continue to grow and that it's prudent and a value enhancer to our company to have production capacity in place.
Eric Stine - Craig-Hallum Capital Group LLC, Research Division: Got it, that is helpful. Maybe along those lines, just any thinking or any color on where things stand with PetroChina. A little bit of pause just given some internal things that were going on there. And then just taking another step. In the past, you talked about the progress that you've made with a number of the other operating segments within PetroChina and -- just where that stands? What that potentially means for future orders.
Samuel F. Thomas: We continue to execute and deliver fuel stations to PetroChina and commission them successfully. PetroChina has had significant management changes at senior levels and is undergoing some reorganization. So the comments we get from them are that the pause in significant new orders is likely to last through the first half of the year at least. But they are also looking to operating experience and uptake of LNG from those facilities to guide the areas where they invest further. Several of the other state-owned oil companies are stepping into the space, as well as we're seeing increased activity from entrepreneurs who are small or independent rolling their participation in the space. So we don't look to PetroChina for significant short-term orders, but we have lots of activity with others.
Eric Stine - Craig-Hallum Capital Group LLC, Research Division: Got it. And you do expect PetroChina over the long term that they'll -- that they're certainly a big opportunity for you?
Samuel F. Thomas: Yes.
Eric Stine - Craig-Hallum Capital Group LLC, Research Division: Okay. And last one for me, maybe just switching to small- and mid-scale liquefaction in North America. I noticed Stabilus, they've recently been talking about getting close to identifying a second and third site, I think in the Bakken and the Permian, using your modular system. Just any thoughts on potential order timing there?
Samuel F. Thomas: It's very challenging to call and be competitively sensitive for us on that.
Operator: Our next question comes from the line of Chase Jacobson with William Blair.
Chase Jacobson - William Blair & Company L.L.C., Research Division: Michael, first, can you just -- I think at last quarter and in this quarter, you had mentioned delayed shipments. Can you quantify that? And are those expected to ship in 2014?
Michael F. Biehl: Well, the projects have pushed out in terms of being large base-load LNG projects. We really didn't have any delays per se in this quarter. We did in the third quarter, in terms of customer changes, but under percentage of completion, as your cost estimates increase, it does use the percent that you could recognize in a quarter. So with the changes that we made in the third quarter and those estimates for those projects, it increased the cost structure for this year and also into next year and it does push out that revenue recognition a bit in terms of -- for each quarter.
Chase Jacobson - William Blair & Company L.L.C., Research Division: Okay. And then, I guess, outside of those and outside of the China D&S growth, which is quantified, how much of the anticipated revenue growth in 2014 comes from what's in backlog now versus work that you expect to book and ship during the year? And if there's anything that you can quantify for upside or downside risks to that, would be great.
Samuel F. Thomas: Within E&C, the majority of the work, something over 70% is in backlog and will be delivered in 2014. So the elements of impact of orders received in the first half is muted for E&C impact orders received in the second half is fairly small for converting into sales or operating income. In D&S, the average lead time is probably -- is something like the 6-month time frame. So it's roughly 50/50 backlog versus orders received. In BioMedical, lead times are less than 1 month. So backlog is a 6-week effort, so it's primarily orders received for BioMedical.
Chase Jacobson - William Blair & Company L.L.C., Research Division: Okay. And just one more on the guidance. I mean, I'm just trying to get a better sense of what's going on with the -- what different moving pieces are with the profitability because you have 10% to 15% revenue growth but lower earnings growth. So is this a mix impact? Is it because of the investments that you're making? Is it because of competition? Can you just kind of walk us through that a little bit.
Samuel F. Thomas: Chase, it's probably all of the above. But the large base-load LNG projects that are flowing through 2014 in energy chemicals make up about 45% of the revenues and those are in terms of gross margins are significantly lower than the average margin in E&C. And the other thing that we'll have going on is the ramp-up of the fourth furnace for the brazed aluminum heat exchanger facility. That has an impact. The other element, you referenced EPS growth, I think, as why was that mitigated. There's also an income tax impact related to our R&D tax credits which was booked in 2013, which was actually an impact from both 2012 and '13 because of the -- it was granted after the close of the 2012 fiscal year. That impact is absent in 2014 because the tax credit expired, although there is discussion of it being reinstated retroactively later in the year 2014. But that's not reflected in our current EPS or estimate.
Michael F. Biehl: And if it was reinstated retroactively, it would be a lot of million dollar net income impact estimated.
Operator: Our next question comes from the line of Kathryn Thompson with Thompson Research Group.
Kathryn I. Thompson - Thompson Research Group, LLC: Just follow-up on E&C. Just a little bit more color in the mix, your backlogs. You talked about your large base-load projects carrying incrementally lower growth margin. But 2 points, what is the percentage of that backlog today versus how does this compare over the previous 2 years? And then what is the differential in gross margin for these type of projects versus the others in backlog mix?
Michael F. Biehl: It's lower in the current year in terms of what's in the backlog. So 45% of what's coming out of E&C will be related to these large base-load projects, it was a little bit higher in 2013 and it would have been higher likely in the prior year to that because we had more projects in process. Originally, we had 6 large-scale boxes in process. We're down to 3 now. In terms of quoted margins, these projects were in the teens compared to our standard margin or our average margin in Energy & Chemicals. So they are significantly lower. And because of the run-up in hours, welding hours in our New Iberia facility higher than we had anticipated also. The way higher labor rate in the Gulf has driven those margins down even further from where they originally quoted at to about in the, on average, 10% range gross margin. So we're moving forward, there's potential for improvement and execution. But we think we built everything in when we adjusted it in the third quarter, it adjusted it automatically, it adjusted our fourth quarter 100% completion also because they go into 2014. And as I said, the 45% of revenues has adjusted the margin profile in 2014 for Energy and Chemical.
Kathryn I. Thompson - Thompson Research Group, LLC: Great. And just one point of clarification. When you were discussing earlier the delta between the top line growth and the bottom line growth, I appreciate that. But you also referenced just having a large base-load projects and you said 25% of your revenues. Does your margin sound -- just maybe help me understand and just connect if the percentage of those projects are lower this year versus the previous 2 years, where is the margin impression coming from?
Michael F. Biehl: So the margin -- the estimated margin in prior years for these projects was higher. That was coming out of backlog and because it's on percentage of completion when you -- if you have cost overrun, you adjust them in the year or in the quarter that those estimates come about. So we did that in the third quarter and made those adjustments which drove margins down to a lower level than what they had been recognized in 2012 and 2013 took the hit on those. And then we had to factor those into 2014. So actual -- the margin profile in 2013 was even lower than that 10% rate that I gave you in 2014. Yes, the estimated certainly has to complete margins on average.
Operator: Our next question comes from the line of Rob Brown with Lake Street Capital.
Robert D. Brown - Lake Street Capital Markets, LLC, Research Division: Not to beat a dead horse here, but the E&C margin, when do you see that sort of recovering? Is that sort of late in '14? Or can you get back to that high 20s by then? Or is it more of a 2015 kind of time frame?
Samuel F. Thomas: Rob, I think it's a 2015. I mean, well have one project left in backlog but it ships in the first half of 2015, I believe. So we will have worked a lot of it through in 2014. Again, there's opportunities for execution improvement, but we think we've built right now the full load into our earnings estimate that we put forth, where we're currently at and what we see going forward.
Robert D. Brown - Lake Street Capital Markets, LLC, Research Division: Okay, good. And then, Sam, I think you mentioned some new market activity in the marine area. So what are you seeing there? Is it mostly Europe at this point? Or do you see it in North America as well?
Samuel F. Thomas: It's worldwide in terms of the activity. It's concentrated, I would say, at sort of river, coastal transportation, but there's significant quotation activity both for vessel tanks, as well as bunkering solutions. Both fixed land-based and barge-based bunkering solutions. And we had an announcement in the fourth quarter of a bunkering barge and power source for cruise ships on inland rivers in Europe. But there's also similar projects with work boats and cruise ships in the U.S. and China.
Operator: Our next question comes from the line of Martin Malloy with Johnson Rice.
Martin W. Malloy - Johnson Rice & Company, L.L.C., Research Division: When will the new La Crosse, Wisconsin plant be operating at full capacity?
Samuel F. Thomas: The equipment -- the building is finished, equipment is being installed. We're starting to ramp up production. Utilization at full capacity is dependent on order generation. But likely 2000 -- during the year 2015. We have built significant capacity expansion. We don't anticipate that available capacity being filled up immediately. It will take time to ramp up the workforce and develop full utilization of that capacity.
Martin W. Malloy - Johnson Rice & Company, L.L.C., Research Division: Okay. And then just to clarify, in terms of the shipments for the cold boxes. Is the APLNG project cold boxes, are they still expected to ship first half of this year in Wheatstone second half -- I'm sorry, first half of next year?
Michael F. Biehl: Yes. We shipped one of the APLNG projects and one will ship sometime, we believe, in the first half of this year. That project is about 92% complete. The Wheatstone boxes, one will ship in 2015 and one, we believe, towards the end of this year. That project is about 40% complete in terms of percentage of completion.
Martin W. Malloy - Johnson Rice & Company, L.L.C., Research Division: Okay. And could you talk about in China any inroads that you've made with other large customers over there, like Sinopec or Sina?
Samuel F. Thomas: I prefer not to because of the competitive sensitivity.
Operator: Our next question comes from the line of Greg McKinley of Dougherty.
Gregory J. McKinley - Dougherty & Company LLC, Research Division: You guys talked a little bit about what gives you confidence in China growth improving in the second half. Part of what you said was you're seeing strong liquefier construction continue, as well as storage capacity development for imported LNG. Will those -- so if that's unchanged, I'm wondering, is there -- with the benefit of hindsight looking over the last 6 months or so, is there an emerging catalyst that you can see that will sort of cause those 2 factors to trip the market back into growth? Is it the -- maybe anticipated repricing of natural gas versus diesel? Or anything in particular that is tangible and measurable that would reaccelerate that?
Samuel F. Thomas: Perhaps the strongest is that during 2014, the admissions requirements are tightening for diesel vehicles. And that anticipates the -- that requires, number one, the availability of low sulfur diesel fuels in order to use more advanced particular traps and catalytic converters on those vehicles which will be more expensive than current diesel, which has higher sulfur content, number one. And number two, as that low sulfur diesel is available, the manufacturers will be required to provide the additional catalytic converters on new vehicles sold, which will also increase the price of a new diesel versus an LNG or natural gas vehicle. So that is the prime catalyst. It's scheduled to be fully invoked early in 2014. But in China, timing is affected by the actual availability of fuel and the vehicles. So the timing is as to how quickly it rolls in during 2014 is not fully transparent.
Gregory J. McKinley - Dougherty & Company LLC, Research Division: Okay. And then do you have any insights regarding -- I know there was some talk about potential rewidening of that price spread between natural gas and diesel in China, that also could be a contributor. Is there any more intelligence coming out of the China market indicating when and if that's likely to happen?
Samuel F. Thomas: Not with any clarity.
Gregory J. McKinley - Dougherty & Company LLC, Research Division: Yes, okay. Now regarding your planned China expansion, so an $80 million investment. I think you indicated that overtime, I forgot what you said in terms of actual capacity expansion, it's going to ultimately double your China capacity. How will that -- over what period of time will that money be invested? And how should we think of that doubling? What portion of that is going to occur likely this year versus in the future?
Samuel F. Thomas: Well, relative to the smaller portion, we indicated earlier in the call what we anticipated the growth to be in China, so relatively small portion during 2014. We expect the facility to be operational in 2015. The timing of the full $80 million investment is going to be dependent on market evolution and orders, in particular, but to a lesser extent, order prospects. It could be as much as a 2-year period, potentially longer if the development is slower than we anticipate. And I think a reasonable guideline as to what we anticipate that capacity to be capable of is for these products. We generally look at $1 of investment being worth roughly $4 of sales.
Gregory J. McKinley - Dougherty & Company LLC, Research Division: Okay. And then I wonder if there's any thoughts you can share regarding the one we haven't talked about yet, BioMedical. How much of your outlook for '14 contemplates some of these transition issues in the U.S. market stabilizing or even recovering? I just want to get a sense of the sensitivity of your guidance to that.
Samuel F. Thomas: I would say that our guidance is at the -- does not require dramatic improvements in the market. Our improvements are largely driven by improvements in warranty experience and continuous improvement activities that will improve our margins as opposed to getting a significant lift in volume.
Operator: Our next question comes from the line of Gary Farber with CL King.
Gary Farber - CL King & Associates, Inc., Research Division: Can you also talk about the midpoint of your sales guidance either as a percentage of revenue or sort of absolute dollars, how you think about your SG&A?
Michael F. Biehl: SG&A will probably be in the 16% range in terms of sales for 2014, that's what we will target.
Gary Farber - CL King & Associates, Inc., Research Division: Great. Okay. And then just back on the E&C for a second. Are you saying, you're sort of thinking sort of mid-20 range for gross margins for that business in fiscal '14?
Michael F. Biehl: Well, no. Gross margins will be around 28% for E&C. But embedded in there are these LNG projects, which, otherwise, the margins would be closer to probably 31%, 32% gross margin.
Gary Farber - CL King & Associates, Inc., Research Division: Right, right. Okay. And then D&S will year-over-year sort of move down?
Michael F. Biehl: No, D&S will stay about the same, sort of the 28% to 29% range we expect. So if China were to ramp up more rapidly, say, in the second quarter really because of the lower margin profile over there would have an impact on D&S. But right now we, at least, in our forecast is in the 28% to 29% range.
Operator: Our next question comes from the line of Pavel Molchanov with Raymond James.
Pavel Molchanov - Raymond James & Associates, Inc., Research Division: Can I ask about capital intensity? What did CapEx end last year at? And what do you think your total spend is going to be in 2014?
Michael F. Biehl: Well, it was about $73 million in 2013 and that included -- it includes the expansion project that's still going on for Energy & Chemicals for the brazed aluminum heat exchangers. In 2014, factories in this China expansion would be somewhere between $60 million and $90 million in terms of CapEx, and that's looking at maybe a 50% spend potentially on the $80 million expansion that we have in China. But it's early on yet in that project.
Pavel Molchanov - Raymond James & Associates, Inc., Research Division: Right. So you guys went from $22 million of CapEx in 2011 to potentially 4x that this year. Is this the peak? Do you anticipate spending kind of tapering off into 2015? Or do we have a few more years of this?
Samuel F. Thomas: It depends upon the market. If we see, for example, on the marine side, for LNG go forward, we would be looking spending more CapEx, potentially expanding, looking for a facility closer to the water to manufacture LNG ship tanks. So it really depends upon the market. If you stop and say, well, this is the end of the expansion, which we don't think it is, it would normalize probably in 2016. This will still have -- if we go continue to look forward with the China expansion, the market rebounds, we'll spend another $40 million on that expansion next year, potentially buildout.
Operator: Our next question comes from the line of Chapman Deng, JPMorgan.
Z.W. Deng - JP Morgan Chase & Co, Research Division: I have a question regarding the China expansion. I'm not sure if any have asked that before. So basically, may I know the capacity for the new facility? And may I know what kind of order you are going to produce in the new facility, and if possible, can you actually share us with capacity detail for each individual products?
Samuel F. Thomas: I think I covered previously the broad outlines of the project for distribution and storage equipment both station tanks, as well as vehicle tanks.
Michael F. Biehl: And it doubles roughly our capacity when it's ultimately completed at what our current capacity is.
Operator: Our next question comes from the line of Alex Potter with Piper Jaffray.
Alexander E. Potter - Piper Jaffray Companies, Research Division: I was wondering if you could comment a bit on the competitive landscape right now in China. You got a slowdown in orders market-wide and people expanding capacity. Have you seen any shift in market share or pricing pressure recently as a result of that?
Samuel F. Thomas: Pricing pressure is always intense in China. I think that in general, the movements in China over the past 2 years has been to customer expectations of higher quality and higher reliability, which has driven price points to stabilize or move up. But China has been and continues to be a competitive market. I believe we are generally improving our competitive position.
Alexander E. Potter - Piper Jaffray Companies, Research Division: Okay. And would you say that, that same sort of mentality that focus on quality over price is valid for these smaller "entrepreneurial" or independent station developers?
Samuel F. Thomas: There is a continuum of quality capability available across the Chinese market. We are positioning at the high-end in terms of quality and reliability, and we're seeing more customers come to us. I don't think that ever means, in China, that entrepreneurs will stop operating.
Alexander E. Potter - Piper Jaffray Companies, Research Division: Okay. I was wondering if we could shift over to LNG truck tanks in North America. Can you give, I guess, the unit number of how many you produced in 2013 and then how many you expect to produce in 2014?
Samuel F. Thomas: On the order of 1,500 units in 2013, we expect to see a significant increase, in fact, in 2014.
Alexander E. Potter - Piper Jaffray Companies, Research Division: Okay. And is it, generally speaking, accurate to say that there's about 2 of those tanks per truck?
Samuel F. Thomas: There is either 1 or 2 tanks. The majority of long haul trucks, Class A trucks would get 2 tanks.
Alexander E. Potter - Piper Jaffray Companies, Research Division: Okay, very good. And then my last question. What do you estimate your market share being in those truck tanks in North America?
Samuel F. Thomas: We're the primary supplier of truck tanks for the North American market.
Operator: [Operator Instructions] Our next question comes from the line of Greg McKinley with Dougherty.
Gregory J. McKinley - Dougherty & Company LLC, Research Division: I just wanted to see if we could get a little additional details on the LNG revenue disclosure. So you said that increased 89% from 2012 to 2013. I'm wondering if you could share with us what those dollars were? And if so, could you even maybe give us some visibilty between E&C and D&S?
Samuel F. Thomas: It'll -- Greg, it's about 80% increase in D&S and it'll be disclosed in our 10-K that we filed this afternoon.
Operator: And our next question comes from the line of Chapman Deng with JPMorgan.
Z.W. Deng - JP Morgan Chase & Co, Research Division: I just have a follow-up question on your China operation. Can you show us the 2013 your sales in China for the tank -- I mean, the truck tanks, as well as the LNG filling station? Can you show us the number?
Samuel F. Thomas: We don't split out those specific numbers for China based on competitor sensitive.
Operator: And I'm not showing any further questions at this time. I'd like to turn the call back over to Sam Thomas for closing remarks.
Samuel F. Thomas: Thank you. As we've discussed on the call, we continue to see developments in the LNG market on a global basis. We're committed to meet that demand with capacity additions in both La Crosse, Wisconsin and Changzhou, China for D&S projects, as well as capacity expansions we made in the previous year. We are very well-positioned to be able to serve the market very effectively with high-quality products and quick lead times to meet the demand as it grows. In North America, on-road LNG infrastructure buildout continues at a modest pace compared to some of the estimates we've seen earlier in the year and our hopes. But we still see opportunities for major fleet buyers to make commitments to test and understand the benefit that LNG provides and that we believe that market will continue to evolve and grow. We believe that the marine and rail markets will continue to move forward to switching to LNG fuel as a diesel replacement based on environmental and compelling economic arguments. New commitments by customers are still required in all areas and this will take time to develop. We remain very optimistic and we continue to position the company with a flexible platform dedicating to serving our customers with innovative solutions. We will focus on capacity planning, project execution, operational excellence, because we fully recognize that in order to make the investments we are making, we have to be profitable and continue to generate significant positive cash flow. We do have a focus on profitable growth of our business. And we're handling that balance effectively of providing additional capacity to grow a very exciting market opportunity while continuing to maintain a conservative, physically appropriate balance sheet. With that said, we think that the opportunities of the future are very strong, and we look forward to serving our existing industries and the newly developing LNG industry a long time into the future. Thank you, everyone, for listening today. Bye.
Operator: Well, ladies and gentlemen, thank you for participating in today's conference. This does conclude the program, and you may all disconnect. Everyone, have a good day.